Operator: Good day. And welcome to the Alcon’s First Quarter 2020 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to you, Karen King, SVP of Investor Relations. Please go ahead.
Karen King: Welcome to Alcon’s first quarter earnings conference call. Earlier we issued a press release and interim financial report, and posted a supplemental slide presentation to our website to enhance today's call. You can find all of these documents in the Investor Relations section of our website at www.investor.alcon.com. Joining me on today's call are David Endicott, our Chief Executive Officer; and Tim Stonesifer, our Chief Financial Officer. Our press release, presentation and discussion will include forward-looking statements. We expressly disclaim any obligation to update forward-looking statements as a result of new information or future developments except as required by law. Our actual results may vary materially from those expressed or implied in our forward-looking statements. Accordingly, you should not place undue reliance on any forward-looking statements. Important factors that could cause our actual results to differ materially from those in our forward-looking statements are included in Alcon’s Form 20-F, earnings, press release and interim financial report on file with the Securities and Exchange Commission and available on the SEC’s website at www.sec.gov. Included in this press release are selected non-IFRS measures. Non-IFRS financial measures used by the Company may be calculated differently from and therefore may not be comparable to similarly titled measures used by other companies. These non-IFRS financial measures should be considered along with, but not as alternatives to the operating performance as prescribed per IFRS. Please review the financial tables provided in the press release and our filings that reconcile non-IFRS measures to directly comparable financial measures presented in accordance with IFRS. For discussion purposes, our comments on growth will be expressed in constant currency. With that, I’ll now turn the call over to David.
David Endicott: Thanks, Karen. Hello, everybody. I hope you are all staying healthy and safe in these challenging times and I want to take a moment to acknowledge the many sacrifices people are making every day to express our gratitude to all the healthcare professionals on the front lines serving their communities. As Alcon navigates through this situation, our number one priority is to keep our associates safe, while managing a complex supply chain that serves critical eye care needs in 140 countries. Since the emergence of COVID-19, our crisis management team has been coordinating our global response to this healthcare crisis. I want to recognize that team and the thousands of associates in our manufacturing plants, warehouses and distribution centers who are helping us maintain an uninterrupted flow of products to the patients who need the most. Most of our office based associates are working from home and we've implemented new procedures and measures to enhance safety at all of our sites. Let me also acknowledge the many associates who volunteered to apply their time and ingenuity in making much needed protective supplies, such as hand sanitizer and splash guards for our local communities. Now that being said, I'll start by providing a brief update of our first quarter recent performance and overall market dynamics and then Tim will discuss our sales performance by business and provide additional color on April results and our outlook for recovery. And I'll wrap it up with closing comments and open up for Q&A. In the first quarter we delivered sales growth of 4% and core operating margin of 16.6%, including an unfavorable impact of 50 basis points from foreign currency. Core earnings were $0.45 per share with $0.04 of interest expense from financial debt. Overall we saw double-digit growth in implantables driven by strong demand for PanOptix and we saw double-digit growth in Ocular health driven by continued demand for sustained, plus the successful launch of PATADAY in the US. This overall growth was offset by the impact of the pandemic on our end markets. And turning to those end markets, in Surgical global cataract procedures declined in the high single digits this quarter, after a mid single digit increase in the fourth quarter of 2019. First quarter market data shows us gaining another 10 share points in the US PCIOL category putting our share over 65%. We're very pleased with the early success of PanOptix as evidenced by the rapid increase in market share, and we look forward to continuing that momentum of this innovative practice markets reopen. In Vision Care the contact lens market was relatively flat in the first quarter versus up low single digits in fourth quarter 2019. The fast growing part of the market is daily SiHy, which continues to see strong growth at 22%. We continue to gain share in this market on the strength of DT1, DT1 multi focal and our newly launched PRECISION1. And in Ocular health, we gained close to 10 share points in the quarter due to the contribution of PATADAY putting us in a strong leadership position with over 40% of the US OTC ocular allergy market. We're pleased with the launch of PATADAY and attribute its initial success to wide-product availability, brand recognition and solid commercial execution, despite retailer disruptions due to COVID-19. Unfortunately COVID-19 has had a substantial impact on our health system and the need for urgent care requires the prioritization of critical hospital resources for acute care. What this means for our business is that with the exception of emergency procedures surgeries were either suspended or significantly restricted in most major markets around the globe. At the end of February, we were feeling very good about the quarter, PanOptix was gaining share in the PCIOL market, PRECISION1 and Vivity were both off to a great start and gaining momentum and we just launched PRECISION1 OTC. So we ended February with strong global sales. However as surgery restrictions were enacted in most of our markets and optometry clinics closed, COVID-19 began to negatively impact the demand for our products and quarterly results really by mid-March. It's important to remember that cataracts don't get better. So instead they progress and vision deteriorates over time, which may compromise the ability of patients to live independently. As such we're confident that there'll be a solid rebound, albeit at different speeds in our markets depending on the healthcare system, the mix of public versus private facilities, the capacity to ramp up surgeries and importantly patient confidence in returning to a healthcare facility. In Vision Care, our Contact Lens business also showed signs of slowing in late March, as many independent ODs reduced working hours, closed clinics or moved to telemedicine to support their existing customers, which means new fits have substantially slowed. In addition, channel mix shifted towards online consumption during the quarter. Ocular health products such as sustaining contact lens care however benefited initially from the preemptive stocking of OTC products by both retailers and consumers concerned about the availability of future supply. This coupled with strong demand for PATADAY resulted in the double-digit growth for Vision Care during the quarter. As we face these new challenges, we're taking decisive actions so that we can weather the storm and be positioned to advance our long term initiatives. So what are we doing? We're spending significant time with our customers on virtual training and education through the Alcon Experience Academy, local webinars and peer-to-peer forums. To date, we've conducted more than 650 training sessions, reaching approximately 50,000 customers in just about every market we serve. We're supporting our customers with measures such as credit extensions and mailing contact lenses directly to consumers. We're refining our launch calendars, we believe product innovation will play an important role in helping doctors rebuild their practice. In Surgical, we're off to a great start with PanOptix as evidenced by our double-digit growth in implantables in the first quarter and we'll continue to roll out the product in the US and Japan. We received positive early feedback from our limited launch of Vivity and we’ll broaden our launch access in Europe. And we will pilot Vivity with select IOLs [ph] in the US later this year. In Vision Care, we’re increasingly engaging our customers online through digital channels and supporting the robust demand at owned and third party e-commerce platforms with inventory and new direct to consumer models. Feedback for PRECISION1 has been favorable and we're prepared to reenergize promotional activities as optometrists reopen their doors. We're also excited to expand our Toric DAILIES [ph] portfolio with the introduction of PRECISION1 and DAILIES TOTAL1 Toric lenses later this year or early into next year. We're moving forward with our contact lens manufacturing expansion in both Germany and Singapore and I've used this downtime to build inventory of some of our key products as we prepare to rebuild our momentum post crisis. We're also implementing significant cost control measures, while staying on course with our separation, transformation and other investment priorities and we're taking a number of steps to preserve financial flexibility and Tim will discuss these actions in detail in his comments. Lastly, because we believe these conditions are transitory, we're not making structural changes to our operational costs that would impede our ability to fully ramp up when all geographic markets recover. Now before I turn the call over to Tim, I want to step back for a moment and just add a little bit of long term perspective. Eye care is a large and growing market and we've defined it as a $25 billion market, which has historically grown at around 4% to 5%, driven by an aging population, improved access to care and the explosion of myopia. Eye care is incredibly important principally because 80% of what we perceive is through the eyes. Cataracts don't go away or improve on their own, and while most patients can delay surgery for some period of time, an uncorrected cataract proposed health risks, compromised mobility and ultimately lead to blindness. In addition, myopia is accelerating at alarming rate. Children are spending less time playing and exercising outdoor, which is believed to be an important factor in developing distance vision. People are spending more time on their hand-held devices and by 2050 current projections show that half the world will be nearsighted. So while there is definitively some short term challenges to work through. Keep in mind that the long term fundamentals remain strong. We're the leader in these large and growing markets and we'll continue to innovate for our customers and patients need. And with that, I'll turn it over to Tim who review our financial results and provide more color on our outlook.
Tim Stonesifer: Thanks, David. We're pleased to report a solid 4% top line growth in the first quarter. Surgical sales were flat with double digit growth in implantables, offsetting lower sales in the consumables and equipment other categories. Implantable sales of $310 million increased by 10%, primarily due to strong gains from the recent launch of PanOptix in Japan and the US and continued strong performance in APAC, offset by decline in monofocals. Consumable sales of $519 million decreased by 4%, reflecting the temporary slowdown of surgical procedures. Sales from the equipment and other category of one $155 million also declined by 3% versus prior year. Lower sales of equipment also due to the decline in surgical procedures and unfavorable comparisons and procedural eyedrops due to a competitor outage last year, offset higher service revenues. Vision Care sales were up 10% in the first quarter, primarily as a result of favorable performance in ocular health. Contact lens sales were $502 million, up 2% over last year, primarily driven by the continued demand for our leading product DAILIES TOTAL1 and contribution from the initial launch of PRECISION1 in the US. This was partially offset by declines in other lenses. Ocular health sales of $336 million increased by 23% this quarter with approximately 9 points related to pre-COVID stocking activity, which should normalize over the next three quarters. Excluding the effect of stocking activity, ocular health sales grew by 14%, driven by the launch of PATADAY and continued strong demand for SYSTANE. Our successful launch of PATADAY in the US in advance of spring allergy season positions Alcon as a strong leader in the US ocular allergy category. We are pleased to be able to bring this product to the 66 million Americans suffering from high allergies. Now moving down the income statement. Core gross margin was 62.2% this quarter, down 30 basis points year-over-year, primarily driven by higher sales mix from Vision Care. Core operating margin was 16.6% this quarter, a 110 basis points lower versus prior year and down 60 basis points excluding the negative impact from foreign exchange. The margin decline was due to unfavorable mix, incremental R&D investments and some provisions related to COVID-19. First quarter interest expense was $31 million, up from $9 million last year, primarily due to higher interest expense reflecting an increase in third party debt following the spinoff. This was slightly offset by our continued efforts to pay down some of our high interest debt in local jurisdictions. The core effective tax rate was 16.1% this quarter, compared to 16.8% last year. The decrease in the tax rate was primarily due to a favorable geographic mix of pre-tax income and discrete items, which are not expected to continue going forward. Excluding these discrete items, our core effective tax rate would have been approximately 19%. Core earnings per share were $0.04, down $0.06 from prior year, which includes an incremental $0.04 from interest on financial debt. Now before I move to a discussion of April results, I'll touch on a couple of cash flow and other related items. Free cash flow for the quarter was negative $60 million, compared to negative $69 million last year. This $9 million improvement is primarily related to a decline in capital spending, as cash flow from operations remain consistent with the first quarter last year. Separation costs this quarter were in line with expectations of $71 million, primarily driven by IT investments. We expect to substantially complete our separation process this year. Transformation costs this quarter were $7 million, primarily related to third party consulting fees and restructuring. As we communicated previously, due to the continuing challenges of forecasting the direction of the current crisis, we have suspended our 2020 full year guidance. Although we don't think it's prudent to try and predict the future in these uncertain times, we do appreciate the value of transparency. So I’ll give you a few data points to help you frame up the second quarter. From the demand side, global sales in April were approximately 50% of internal expectations we set at the start of the year, with the US achieving roughly 40% and international roughly 65% of internal expectations. The impact in the US was greater due to widespread restrictions on cataract and refractive surgeries. Our international business held up better due to the varying states of disruption and recovery in different countries. From a product mix perspective, about 40% of our business in April was related to Surgical and approximately 60% to Vision Care. We believe April will be the low point for the quarter and expect to see modest improvement in May and June, assuming governments around the world continue to relax restrictions. We are taking a variety of short term actions to help offset some of the pressures we're seeing in the current environment. First, we are aggressively addressing our cost base. We've implemented a hiring freeze across the company and eliminated almost all travel, meetings and consulting staff. We have also eliminated a meaningful amount of sales and marketing spend. These initiatives will result in approximately $200 million of savings in the quarter. Second, we're aligning our production schedules to help us reduce some of our raw materials and labor costs. However, given the dramatic decline in revenues in April and the fixed nature of some of our manufacturing infrastructure, we expect Q2 gross margins to be approximately 10 points lower than our internal expectations. We also expect this to improve as revenue increases. And third, we've cut some CapEx projects in Q2 and we face some spend to the back half of the year and into next year. Looking at the future, we're still committed to the long-term strategic initiatives we discussed at our Capital Markets Day in late 2018. We are implementing separation activities. We are investing in our multi-year transformation journey. We are investing in innovation and R&D and we are investing in the installation of our new Vision Care manufacturing lines. Like every company, we are closely monitoring our liquidity, considering the current environment. We had $745 million in cash at the end of April and a $1 billion available in our revolving credit facility. We do not have any major maturities before 2024 and we do not have financial covenants or a material adverse change clause on either the revolver or the outstanding debt. However, given the dynamic environment, short term pressure on working capital and back-end loaded strategic investments, we will continue to evaluate all of our liquidity options and assess market opportunities as they arise. We believe that this will ensure we have the financial flexibility to keep our associate safe, and vest [ph] on our strategic initiatives and strengthen our balance sheet as we weather these headwinds. As we think about the future and a potential rebound in the markets, there are a few things I'd like you to consider. As David mentioned, we expect the path to reopening will vary based on country, state and local levels. Different healthcare infrastructures will also influence the pace of market normalization. We expect markets like the US where the majority of the surgical procedures are performed in private ambulatory surgical centers to recover faster due to the ability to flex their hours and make changes within the outpatient setting. Other geographies, like Italy or the UK where procedures are primarily performed in public hospitals may take longer to recover due to capacity constraints. As such, we anticipate third quarter will improve from second quarters depressed levels and by the end of the year we will see more normalized rates in most of our geographic locations, assuming there's not another wave of a pandemic. Fundamentally, we believe vision correction is an essential need for patients and consumers of all ages and that patients cannot skip treatment without increasing potential health risks So to summarize, Q1 was another strong quarter for Alcon as we continue to launch new innovation and demonstrated our ability to deliver sustainable growth. As we navigate uncharted waters that move quickly and dramatically, we're laser focused on what we can control and are decisively implementing actions that protect our employees and optimize our resources, which will position us well post-COVID-19. With that, I'll turn the call over to David for some final comments.
David Endicott: Thanks, Tim. In closing, I want to take a moment to thank all of our shareholders for their interest and engagement in our first annual general meeting last week. Well we had to alter the format of the meeting due to COVID-19, we were pleased that over 70% of the shares entitled to vote were represented and all board proposals were approved. In this uncertain environment, our customer relationships, decades long experience, financial resources and the unparalleled commitment of our associates give us confidence in our ability to weather today's challenges. I mentioned in my opening comments, we enjoyed tremendously positive market fundamentals in this business. I don't know whether the shape of this recovery would be V shaped or U shaped or W shaped, but what I do know is that at some point this will end. We want to make sure that when we look back at the challenges we overcame, we can say that we did our very best to protect our ability to serve the millions of doctors, patients, customers and associates who depend upon us. By doing so, we get back to doing what we do best, creating products that help people see brilliantly. Now let's open up for questions.
Operator: Thank you. [Operator Instructions] The first question today comes from Ryan Zimmerman of BTIG. Please go ahead.
Ryan Zimmerman: Thank you. Thanks for taking the question. I want to ask you about couple of segments. First on ocular health, you know, 9% was stocking. Can you just talk a little bit about the specific impact of PATADAY there and what the new normalized growth rate of this segment may be, just considering its historical performance, it certainly was well ahead of, I think you know, many people's expectations.
David Endicott: Yeah. Thanks, Ryan. Let me let me take a shot at it. I think the way to think about our ocular health business broadly, is that we think that market which is made up of both the tier [ph] segment and the allergy segment and basically everything that we see at the OTC shelf and the retail, which includes actually contact lens care, we think that is growing roughly in that kind of 6% range, 5%, 6%, contact lens get growing you know, negative. So I think you know, we believe we're gaining share with PATADAY. We think we've gained a fair bit of share in this first quarter. I think we'll - think about - I think the way to think about it is that it's growing roughly at that 6% and therefore you know, if we gain share we should be doing a little bit faster than that. So that's probably the best way to kind of work through it.
Ryan Zimmerman: Okay. That's helpful. And then turning to the IOL business, you know, PanOptix continues to be highly successful. But you did call monofocals declining this quarter. And so you know, I'd love to if you could just help us understand, was that the result of markets moving away from monofocals or do you think that's more related to the pandemic at the tail end of March and just how to think about the monofocal business in general, as we think about it going forward?
David Endicott: Yeah. Well, I think the monofocal business is a pretty good proxy for the procedures. And so I think the way to think about it is, you know, as we see the data through the first quarter, we believe there was a high single digit decline in procedures. And I think reasonably said, monofocal lenses would probably parallel that pretty close and it gets what we see in the data. There has been - you know, for us we over-index on ATIOLs. So we had the benefit of two things going on. One was, we have a little bit less exposure than some people do to monofocals and the ATIOL price point is so much more significant than monofocals, that as we grow and as we develop share in PanOptix - with PanOptix in the ATIOL market, it's substantially offset any decline in the monofocal business. So on a revenue basis you know, it was quite substantial, even on a unit basis, I would say we grew nicely against a market that declined. You know, as I said kind of in that high single digits.
Operator: The next question today comes from Anthony Petrone of Jefferies. Please go ahead. Mr. Petrone, your line is open.
Anthony Petrone: I apologize for that. I was on mute. I hope everyone's doing healthy and thank you for all the information. A couple on IOLs and one on contact lenses. Can you just a bit of flesh out, you had to think about the blended 50% in April across the businesses, specifically IOLs and contact lenses through April and maybe modeling out the rest of 2Q. And then high level, in terms of the recovery, I guess in terms of a no second wave scenario between for 4Q to 2Q. How much of a delta or recapture of procedures in new fits do you expect to pull back in before the end of the year? And I have one quick follow up. Thanks.
David Endicott: Well, let me let me try the second one first and then the first one maybe is a little bit trickier. I think our current thinking is that markets should normalize or come close to - kind of end of this year, early next year. And I think the Surgical market I think we feel more confident than the Vision care market doing that. I think the notion of recapturing new fits lost could take us a little longer, just to kind of get out. So I think the likely answer, again, I don't I don't think any of us knows on the caveat [ph] that way, but I would say our current thinking is that surgical procedures will kind of get back to market size, as we've seen historically. As I said, kind of towards the end of this year. On the contact lens side, it may just take a little longer because again there's a big question on consumer confidence and frankly throughput and productivity of the independent OD offices depending on what's required to get people into them. And so you know, again, I don't know the answer, which is why we're a little bit cautious about it. But I would say just slightly a little bit slower and maybe not quite to where we would expect it to be towards you know, the year may take a little longer than that. On the first one, on the mix of IOLs and contact lenses, typically our business is pretty well split between surgical and contact lenses. It's a little bit bigger in surgical than contact lens. But I would just say that the go forward for the rest of the year, we anticipate the surgical business to bounce back a little faster as I said and the contact lenses maybe to be just a little bit shallower and it's decline, but a little bit slower coming back. And so maybe that gives you some direction around how we think about that. The other color I'd give you is that, this is happening very differently in different markets and I'm sure you know that. But what you see in markets where we're largely surgical, say China, very different from what you'd see in Japan, which we have a more balanced business and hasn't been affected that much up until recently. So just the rate of reopening the capacity of ORs, the efficiency of those ORs, how fast they could turn a room and what the productivity metrics are going to be of how many surgery you can do per day will matter a lot. And then I think importantly, how confident consumers are going back into the OD office, going back to surgical facilities will ultimately be kind of the core driver of each business and I do think they're different. I think you're going to see in the very near term a lot of patients who had been scheduled for surgery come back. I think the question is, is will they refill behind that. On contact lens care, our contact lenses I think you're going to see a little bit more of a softer return, much closer to what you know, just a normal consumer market looks like.
Anthony Petrone: I'll get back in queue. Thanks a lot.
Operator: The next question comes from Larry Biegelsen of Wells Fargo. Please go ahead.
Larry Biegelsen: Good morning. Thanks for taking the question. One on China, one on kind of the long-term goals that you called out in the slides. So first out on China, David, can you talk about what you're seeing there in terms of the recovery and is that a reasonable read through to the US and Europe? And I had one follow up.
Tim Stonesifer: Yeah. Hey, Larry. This is Tim. Listen, as you'll recall in the last call that we had, we said that we were at roughly 10% of internal expectations in February. We assume that would carry through in March, with steady state in 2Q and beyond. We also assumed that we weren't going to recover any lost sales. As you fast forward now, kind of three months and what we're seeing, I would just say that Q1 was better than we thought. But the recovery is taking longer than we had anticipated. So you know, as far as a proxy similar to what David said earlier, you know, each country is very unique. You know, it really depends on what the governments are doing. It depends on the private sector, public sector mix, how quickly people return. So I'm not so sure I would use China as a proxy. But like we said earlier and in the statements, we saw a 50% of internal expectations globally and we would expect some modest improvements in managing.
Larry Biegelsen: Thanks. And then for my follow up, in the slide deck or the press release, I'm sorry that’s about preserving the ability to pursue long term goals. Could you talk about what you meant by that. And does COVID push the timeline out for those long term goals? Thanks for taking the questions.
David Endicott: Yeah. So Larry, good question. Look as we've indicated, it's tough to predict this year right now what we're going to be doing kind of for this year, let alone over the longer term. So I think maybe the thing I can tell you about our longer term view is, our fundamentals are strong. We've got good - strong belief that the cataracts are not going away, that those are going to come back. It's just a matter of when and at what pace. And similarly myopia is a massive epidemic right now. So there's just - the implication being that there's going to be a lot of room long term for continued increase in contact lens were. The other things are really important to that, as we've got a very good product flow. So we feel very comfortable with what the products are that we're creating and what we've got in the market. We're gaining share with those products and there's no real reason to believe that we would stop gaining share, I think at this point. So we're also continuing to invest and I would say that look, we think this is a transient situation. We think these markets will return at some point. And so we're continuing to spend into R&D, in separation and a transformation to get those things done, so that we basically come out of this in a very strong position to capitalize on the product flow. So look, we'll relook at our strategic plan this summer in concert with our board, as we always do. Our attention next year is to have a Capital Markets Day and revisit the assumptions we gave out in the original discussion of our long term objectives. And if there's any update at that point, we'll give it to you. But we'll certainly tell you where we are with new products and the like.
Tim Stonesifer: Yeah, the only thing I would add to that is, again, we're focused on things that we control as well and to get to some of that preservation that you mentioned, we are taking out costs that we think are prudent to take out. So we're going to take out $200 million in Q2, but again not making any structural changes because we think this will pass. It's just a matter of when does it pass.
David Endicott: And maybe just to build on that, I think we're going to watch this closely, right. So what we're doing really is we're working this thing month-by-month, quarter-by-quarter and just see where this goes because we really don't know and we'll make adjustments to it as we see it. But we generally believe at least to the operating - the operating assumption level that this as we said should normality and markets should return roughly in that kind of end year, early next.
Operator: Thank you. The next question comes from Scott Bardo of Berenberg. Please go ahead.
Scott Bardo: Yeah. Thanks so much for taking the questions. Yeah, just to understand a little bit the April [ph] dynamic, I think one of your competitors calls us Meditech. I know it's a slightly different business in construct, but saw something like 20%, 30% revenue declines in April, you were pulling out 50%. So I wonder if you can just comment a little bit about what the difference is all there. And maybe just remind us how much of your contact lens business is based on a subscription model, whether there's anything that confers some degree of stability to that business if you can help us with. So thanks for that. And the second question just relates to thinking about the recovery and particularly the sensitivity to economic factors. Would you anticipate any trading down of premium in ocular [ph] lens is more towards a monofocal [ph] and that’s quite economic environment. Thanks.
David Endicott: Yeah. Thanks, Scott. Let me try and take these on here. Couple of things. First of all, on the comparison, so I wouldn't want to get too close to guessing what their business reflects in that particular month because I'm just not sure. I would say that that we believe that we've done a pretty good job of managing this. But the cataract business which we have a very significant share in United States really basically shut down in April. And so if you don't have a big exposure to the United States, which I think some of our competitors do not and you're more internationally based, you can see the difference in our international business and the United States in the numbers we've given you. I think what you'll see is that that's probably the bigger exposure was the United States. But again I I'm guessing a little bit at what the implication there is. I don't think there's a mix, a big mix issue for us. I think the really issue is that they're a little more narrowly focused on some different markets. I think on the second piece, we don't have a big subscription model built into our business, although our customers do. And so, I would say that for people, some of our largest customers the change in particular, some of the online groups and some you know, large offices they do have subscription models and they do I think try and get product out to the patients. And I do think that's - the resiliency you're seeing in the Vision Care contact lens part of our business is much more about, you know, this is 80% refill and 20% roughly new starts. I think the new starts have basically dried up during this period, particularly in April when the offices shut around the world. But I think that's the mix of kind of refill to starting business that you're going to see, be problematic for a while until people are willing to come back in. And again I think there was probably a little bit of you know, early purchase of contact lenses and lens care in the first quarter that pulled some inventory into that piece as well. And we've tried to adjust for that, but I think that's what you're seeing around the market. The last one on the on the monofocal versus ATIOL [ph] I think maybe it's quite the quite the opposite is my guess. You know, we've always been of the mind that the consumer is willing to pay a lot more than most people think. And we've done quite a little bit work with seniors and what they're willing to pay for a lens that does what we said does, we just give you kind of near intermediate distance vision. Now if you believe that, I think that there's something on the order in our data, 50% to 60% of patients who would be willing to pay the amount of premium that is required and we know that the penetration rate globally is somewhere close to 10%, a little bit less than that, maybe 9%, higher in the US at 14%. But that - what that means is there's a lot of headroom for consumers to come back and pay and be willing to pay for an ATIOL. So I think that observation, plus the notion of surgeons wanting to get back to business and try to rebuild their practices and the economics of their practices, I think gives a - I think a positive opportunity for surgeons to really get involved in ATIOLs. And obviously you know, that's a high interest of ours, because as we put an optics out there, we think that gives people an ideal situation where they can see near, intermediate and distance which is a much, much better outcome than a monofocal.
Operator: The next question comes from Matt Miksic of Credit Suisse. Please go ahead.
Matt Miksic: Good morning. Thanks so much for taking our questions. Just one on sort of the near-term trends and one on these sort of economic sensitivity or what you're seeing maybe in terms of the mix of products or what you expect in terms of mix. So you mentioned improvements in May, expected improvements in June. Could you talk a little bit about against any evidence that you're seeing to support that or any differences, particularly in the US that we might see regionally or you know, even though the vast majority say, let's just go 100% percent of these procedures are done in an outpatient setting the facilities themselves range from sort of standalone centers to those type to academic centers in different types regions. So any color around any evidence or any regional variation you're seeing would be helpful. And then I have one follow up.
David Endicott: Yeah. Matt, let me try and give you what we're looking at to try and get to how we see the rates. I mean, we're - your half set right, there's a lot of variables in this and that's why we're careful not to say it's going to be specifically this or that. I do think it is a country by country and in fact the United States state by state experience. But the variables that we are continuing to look at are the rate at which elective surgery has been allowed. So that's come back in most places, but not yet in some European countries for example. The depth of the of the shelter in place efforts that are going on in various countries, so you see some countries in Asia moving forward and some of them you know, recently just recently kind of you know having a little bit of a wobble. So I think we're looking at that and then looking at the U.S. and by state by state to say you know what is the opening rate, what is the elective surgery allowed at that point. I think that coupled with the capacity and the ownership structures of these OR's matters a lot because what UR to OR is you know, some of the, most of the hospital systems I would say publicly owned hospital systems have less capacity as a generalization then privately held ACEs who may be operating two days a week or three days a week but not five days a week. And if you if you think about that they can add extra days if they choose to. The other variable that you got to remember here on particular on the surgical side is, it's not easy under the new guidelines that are being published to turn a room. So you know, used to be able to turn a surgical suite for the next patient, clean it up, move the patient out, you could do it in you know 10 minutes 15 minutes. Now it could be 30 minutes to get everything cleaned out, sterilized and then bring another patient. If that's the kind of productivity loss we get, you know, again we're not sure how fast that that room can turn. That's an issue. And so we're thinking through that variable as it's announced in each country and their different market to market. And then on the Vision Care side you know, the observation I think is twofold, one is there's definitely as we start up a procedural change for how practices are handling patients coming in the door, they're thinning out they're waiting rooms, they're taking patients slower and they're using less staff at the beginning. It's taking longer and remember ophthalmology is a kind of a face to face business, optometry is right up in somebodies face to look at their eyes. So there's a lot of screens are being put in place to do that. There's a lot of process change, I would just say that's going on in optometry. And we're trying to mix that you know depending on the market with consumer confidence in Vision Care because we kind of believe a lot this is going to depend on the consumer confidence that is the patient coming back to get a new prescription course. I think the existing contact lens wearers come back pretty quickly. They're getting lenses largely now, anyway that opens I'll figure out a way to get lenses. Nobody likes wearing their glasses when they've got a mask on because they fog up. So I think you'll find your way back for most of those patients. The real question is new fits and that bears significantly on PRECISION1for example helpful.
Matt Miksic: That’s helpful. And then on the mix side, I guess given that the two major product launches that we look at anyway on the on the implant or consumable side, PRECISION1and PanOptix are both in situations as sort of share gains into large kind of profitable markets in the US. I guess is that – I guess what I'm trying to understand is, is the patient mix change. Do we get more - more ATIOL oriented patient or less in this environment. Do you think does that matter given that you're gaining share in that market, not necessarily growing at market in ATIOL. And then the same kind of question, on PRECISION1 side, you know in the DAILIES segment in the U.S. the mid segment DAILIES let’s say in the US where you're gaining share, I guess how should we think about any fluctuation in that market that the appetite for DAILIES in this environment and whether or not that affect you just because you are more of a share gainer and then again growing in that market segment?
David Endicott: Yeah, I would say that you know, you're exactly right that both of these are share plays really for us and I do think that the markets are solid. But if we take them one at a time, PanOptix to the point I made earlier I think, I don't really see a big change long term in the size of the market or the growth rate of the market. I think it's taking a little time off right now, while we had - you know we have centers closed and it may come back a little bit slowly as those centers reopen and adjust to the new procedures they're going to need to put in place. But I just think it's coming back as cataracts. As I said cataracts don’t go away and I feel like we're going to be fine with that. And PanOptix particularly United States where it's gaining share or Japan where it's gaining share is just doing terrific. And I think we feel real comfortable with the 10 share point gain that we got in the first quarter over the fourth quarter which was quite substantial when you look at it we did that in kind of a couple of months. So you know right now that part of our business feel good about. PRECISION1, look DAILIES broadly speaking I think gets a little bit of a boost from this it's a healthier product generally speaking people want to toss them away reusing lenses, I think is there's always been a bit of a hassle. I think optometrist generally speaking would rather have people you know with better oxygen permeability and tossing out lenses getting a fresh lens every day. So I think that's directionally right and that market is you know SiHy market, as we said in the script was really largely 22% growth. I mean that's a heck of a fast growing market. So we're entering. We've got a great product in DT1 and we're entering PRECISION1 into that market. We feel good about that. The fundamental problem with the launch and the timing of Q1 is that we launched it right into the teeth of this of this pandemic. So you know, there's - I think you know we had hoped that we'd see you know the second quarter really take off on us and we were really well positioned for that coming into March when really things began to get fairly slowed down. And with the offices closed now for you know a couple of months, we're going to have to go back and regain that momentum. So I do think it's going to take us a little bit longer to realize share growth in PRECISION1 than we had originally thought. And that is obviously you know an opportunity for us as well as we get back at it. I think people will want this product but we'll get people back in the office and work on it. Last point I just make, just for completeness on the contact lens business is, we're getting beat up pretty good right now on the Toric business. And again that is really much more about our inability to make those products. We've got them approved. We're in the process of manufacturing them and we have not slowed down any of that during this. So what I would say is that PRECISION1will benefit from a Toric’s near-term horizon and DAILIES TOTAL1 which again I think is a well-known product, well known for its material, its fit, its comfort. We're going to have a Toric out by the end of the year on that one, so we feel like that's a real opportunity for share growth as well.
Operator: Next question comes from Veronika Dubajova of Goldman Sachs. Please go ahead.
Veronika Dubajova: Yes, good. Good morning, good afternoon and thank you for taking my questions. I will keep it to two. First, I want to just follow up on the implantable performance in the first quarter. And David correct me if my math is incorrect, but it seems to me like you saw some pretty significant in excess of 20% growth in January and February for the IOL franchise. It be great to understand kind of where that is coming from, from a geographic perspective, as well as productivity, if you can share some initial feedback on Vivity and maybe how you think that's going to be positioned and received as we go from here? That would be helpful. That's my first question. And then I have a follow up.
David Endicott: Yeah. Veronica, you're not way off on the numbers there in January February. We were doing quite well and we - as I think the way to think about it is we were gaining - we gained 10 share points in a couple to two - two and a half months which you know on an incremental basis from the fourth quarter, the first quarter. So I think we ended somewhere in the US around 65 and then we went way off of that in Japan. The growth is coming from Japan and US. So when you look at our geographic splits those are markets where we have had PanOptix in for about six months and we continue to benefit and should benefit, until we start wrapping around on the numbers. So I think that's been the real opportunity for us is to continue to build share in those markets. Relative to Vivity. I think the Vivity product has been a positive response from almost everybody who's tried it. We've going carefully with this one because you know there's been a lot of efforts made at non-destructive lenses or supposed none refractive lenses and we want to make sure that we know and understand this lens really well. What we we're seeing is kind of what we'd hope to see which is you know there really isn't a significant change from monofocal in you know Abbott light [ph] and or kind of visual disturbances. So that's very exciting. Most of what docs tell us is the first objection to using an ATIOL is I don't want halos and glare and I think this looks like you know we've got something that gives us a monofocal like profile that way. I think the second thing that we're excited about on Vivity is that it seems to have a pretty good opportunity to make it a little simpler than a -some of the other PCIOLs that have been you know positioned as extended depth to focus. I think this lens in particular has a wider landing zone or gives you a little bit more, it's a little more forgiving is the way to say, it means you can push it forward or a little bit back you know maybe almost a half in diameter distance and you'll still get a really good 20-20 distance vision. And so we know the intermediate vision is excellent. We've been positively impressed with the near vision and we still need to just see a little bit more from the markets as to how this performs before we get real excited about it. But right now I think it's an interesting product that is moving nicely with its feedback, but we - again we'll try nurture this one carefully because we think it has a good long term potential.
Veronika Dubajova: That's very helpful. Thanks, David. And then just the second question, I think you stated in your prepared remarks that you might be rethinking some of the launch plan because you have them, anything in meaningful that we should be aware of if you're looking for the rest of the year I think to 2021 or the timeline might be either moving forward and moving back?
David Endicott: Well, we may flip some things around in the Vision Care business just in terms of giving everything a fair shot. I mean we're very keen on understanding and making sure we're a success in the U.S with P1. So our PRECISION1 product we may decide you know to concentrate our minds in the US on that product and we may for example launch DAILIES TOTAL1, Toric, we may launch that in Europe first. We may flip that around from US to Europe, its pretty much a geographic split of where we're going to launch things more than anything else because frankly starting over you know, just as optometry starts up with PRECISION1 may not be our best positioning right there. I think we're going to look for trying to help these practices get back on their feet and using you know our best product and particularly where they can access 30% of the patients that they haven't been able to access right away and with something that they really do know how to use that becomes a lot more intriguing, I think a little easier as a as a launch trajectory. You know I'd say in the U.S., we're just going to concentrate our minds really on continuing the momentum of the things we've got started. But you know obviously PRECISION1 we've taken a little bit of a time out on consumer advertising for example, we'll try and re reenergize that as we see it to be effective. And importantly you know, we'll come back hard with PRECISION1 – sorry with the PanOptix because we genuinely believe this is – us continues to have share growth potential in it and we'll want to make sure that we are getting everything we can out of that product before we do anything else.
Operator: Thank you. [Operator Instructions] The next question comes from David Lewis of Morgan Stanley. Please go ahead.
David Lewis: Good morning. Thanks for taking the questions. Just a couple from here David. Just looking at the online transfer contact lenses that quantify your share of this just with your online share states versus peers and sort of what are the implications of a market that moves increasingly online which is sort of highly likely in a post COVID world?. A quick follow up.
David Endicott: Yeah. Look we're - the online business has definitely grown. It's gotten significantly bigger during this stretch. And you know, not surprisingly. So I would say that the online business before the COVID thing really was pretty stable. I mean hadn't really grown a ton in United States. It's growing a little bit more internationally. But again I would just say it was relatively stable. So it may grow to a new level or it may fall back and I'm not 100% sure what's going to happen. I do think that the - there's going to be over time a significant growth of direct delivery to patient, I just don't know whether that's dock driven, chain driven you know pure on online players or you know how the manufacturers are going to play on that and we obviously are following this very closely. We're trying to figure out what we want to do with this. But I would say that - I think directionally you're correct this is going to get is bigger now will likely stay bigger. I think the implication of it for us is we have historically been reluctant in this space, particularly you know we're particularly sensitive to the independent ODs who are who make a lot of revenue from the contact lens refills and we are very sensitive to the online business so. But I think in an omni channel world which we really believe exists out there we're just going to have to do business with everybody. And I think we will continue to think about how we do better on the e-commerce side. So short version of that is we're a little bit under indexed in share online and the online business is growing so I think it's a concern of ours where we're paying attention to it. And we're going to figure out what we can do next and over the coming months.
David Lewis: Okay. Very helpful. And David, the consumer has been a little weaker relative to [indiscernible] may just be because volumes are down and it didn't benefit from the implantables mix. But there's really destocking to think of in the consumables business. And I wonder if you just talk quickly about the equipment businesses and how you can be fair here on recovery? Thanks so much.
David Endicott: Yeah, I mean I kind of read the consumer business is slightly different than that. I mean I would say that the - if you look at our consumables business it should run largely with the procedures right. If you think procedures where you're roughly in that down high single digits globally then you know we were a little bit better than that, I think we were down a little bit in that kind of 4% or 5% range. So I feel like you know we're hanging in there. I think our accounts have probably we tend to be a little bit over indexed in large accounts. So I think that may have made a difference for us. But I don't think there's anything to think about other than COVID right there where there's really a shut down, and so I think that's the main thing going on with the consumables. On the equipment side, very different. I don't know the answer to your question. We've talked a lot about this one and it's a really good one there. Here's two competing theories that I can share with you. And I just don't know which one is going to win. I think there is no doubt that hospitals particularly public hospitals are going to be short of cash. So there's not going to be a real appetite for new equipment if they can survive on what they've got. So on that one - in that kind of segment I suspect that there is a negative effect on the equipment business. On the other hand what we've seen in the privately owned surgery centers is that we've had kind of an influx of calls about outfitting new ORs. So if you think about the OR situation and productivity to try to get back to the number of contracts you used to do and you have OR that's not being used or it's being partially used or you just need outfit. And the US is dominantly in that situation. There's an interesting phenomenon that may occur where people are interested in trying to get their volumes back so they're going to outfit a new OR. So we're following both of those trends. I don't know which one is going to be the more dominant one. I'm attempting to be a little bit more skeptical of the second one. It may just be a near-term phenomenon, it may not be durable and I'm pretty sure that we understand the economics of the hospital. So we'll see over time how that looks. But I think it's a little bit tricky to do forecast right now. So my apologies for not having a better answer to that, but that gives you at least the trends.
Operator: This does conclude our question-and-answer session. I would like to turn the conference back over to David Endicott for any closing remarks.
David Endicott: Yeah, listen I think you know, we really appreciate the shareholders for all their interest and engagement in our first annual general meeting last week and we had altered the format of the meeting due to COVID-19. But you know, we're pleased that over 70% of the shares entitled to vote were represented and all the board proposals were approved. So appreciate all the support from the shareholders. In this uncertain environment, our customer relationships you know - our decades long experience in our financial resources. I think you've given us a real opportunity I think to make the most of this experience. So what I would kind of close with is, we think this is a transient situation. We think that this will rebound late this year, early next year. We think that cataracts and our ocular surgery business is not a thing that you could put off indefinitely and then our contact lens business in particular would be a little bit more durable. We'll come back a little bit more slowly, really dependent upon new fits getting back into the office. And if you believe all that I think then what you believe is our long term prospects are very solid. So I want thank everybody for their interest and we'll close there.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.+